Operator: Good afternoon and welcome to the Agilent Technologies Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] And now I'd like to introduce you to the host for today's conference. [Indiscernible], Vice President of Investor Relations. Sir, please go ahead.
Ruben DiRador: Thank you, Paul. And welcome everyone to Agilent's Third Quarter Conference Call for the Fiscal Year 2021. With me are Mike McMullen, Agilent's president and CEO, and Bob McMahon, Agilent's Senior Vice President and CFO. Joining the Q&A after Bob and Mike's comments will be Jacob Thaysen. President of Agilent's Life Science and Applied Markets Group; Sam Raha, president of Agilent's Diagnostics and Genomics Group; and Padraig McDonnell, President of the Agilent CrossLab Group.  This presentation is being webcast live. The news release, investor presentation, and information to supplement today's discussion, along with the recording of this webcast is made available on our website at www.investor.agilent.com. Today's comments by Mike and Bob were [Indiscernible] from non-GAAP financial measures. We will find the most directly comparable GAAP financial metrics and reconciliations on our website. Unless otherwise noted, all references to increases or decreases in financial metrics are year-over-year and references to revenue growth are on a core basis.  Core revenue growth, excluding the impact of currency and the acquisitions and divestitures completed within the past 12 months. Guidance is based on exchange rates as of July 31. We will also make forward-looking statements about the financial performance of the Company. These statements are subject to risks and uncertainties and are only valid as of today. The Company assumes no obligation to update them. Please look at the Company's recent SEC filings for a more complete picture of our risks and other factors. And now, I'd like to turn the call over to Mike.
Mike McMullen: Thanks, Barney, and welcome to your first Agilent's earnings call as our new Vice President of Investor Relations. And thanks to everyone for joining our call today. Before covering our Third Quarter financial results, I want to acknowledge the recent passing of Dr. Tachi Yamada, a giant in our industry, and a former Agilent board member. Tachi was much more than a knowledgeable, deeply involved Agilent board member for nine years. As many of you on the call already know, Tachi lived a very full life as a doctor, a scientist, as a humanitarian who was driven to help others.  I know that the Agilent team is not alone in recognizing that Tachi Yamada will be greatly missed. And we extend our deepest sympathies to Tachi's family. Now, on the Third Quarter Review and our updated outlook for the year. In Q3, the very strong, broad-based momentum in our business continues. The Agilent team delivered another outstanding quarter, exceeding our expectations. Q3 revenue of 1.59 billion is up a reported 26% and is up 21% core. This is against a modest decline of 3% in Q3 of last year. So, we are well above the Fiscal Year 2019 pre-pandemic levels. In addition, like other positive signs of continued momentum, orders outpaced revenue during the quarter. Our growth is broad-based across all business groups, markets, and geographies.  The combination of strong top-line performance and execution translated to excellent growth and profitability and earnings per share. Our Q3 operating margin is 26%. This is up 230 basis points from last year. EPS is $1.10, up 41% year-over-year. Agilent success continues to be driven by our build and buy growth strategy and execution prowess. We're developing market-leading products and services, investing in fast-growing businesses, while delivering outstanding customer service, and continue to drive profitability. Since the onset of the pandemic, we have taken actions to ensure Agilent emerges even stronger as a Company.  While we have yet to leave COVID -19 in the rearview mirror, our Q3 results are another indicator our actions are delivering the intended results. Bob will provide more details on end markets and geographies, But I want to briefly highlight our performance in our two largest end markets, Pharma and Chemical & Energy. We continue to perform extremely well in Pharma, our largest market, growing 27% with strength in both small and large molecule segments. Our large molecule business grew roughly 52% in the quarter and now represents 36% of our overall Pharma revenue, up from the mid-20s, just a few years ago.  In chemical energy, our business is recovering faster than expected, expanding 23% in the quarter. This is an acceleration of the momentum we achieved in the first half, and our order funnel continues to strengthen. Looking at our performance by business unit, the Life Science Applied Markets Group generated revenue of 680 million. LSAG is up 22% on a reported basis, this is up 18% core of just a 4% decline last year. LSAG 's growth is broad-based across all end markets. Our performance was led by strength in Pharma, which is up 22%, and chemical energy up 31%. All businesses delivered strong growth led by cell analysis at 38% growth, and our LC and LCMS businesses, which grew 22%. We continue to strengthen our position in the fast-growing Large Molecule market segment. During the quarter, the LSAG team launched 3 InfinityLab Bio - LC Systems at the well-attended InfinityLab LC Virtual Conference in June. These new products further extend our LC leadership position. In addition, building on our already strong Pharma offerings, we launched new compliance-ready LC/Q - TOF and LC - TOF solutions to our portfolio in the quarter. The Agilent CrossLab Group posted a revenue of 560 million.  This is up a reported 21% and up 15% on a core basis. These results are on top of 1% growth last year. The business is benefiting from increased activity in [Indiscernible] labs and instrument connect rates. This led to more contractive services, on-demand services, and consumables consumption across all end markets. All end markets grew mid-teens or higher, with exception of environmental [Indiscernible] which still grew 9%, The pandemic has shown ACG to be our most durable business with ACG growing each quarter since COVID-19 first emerged. Our customer-focused approach and digital investments continue to pay dividends.  Looking forward, instrument placements and demand as well, [Indiscernible] strong performance by ACG, as we drive attractive rates and increased costs for lifetime value. The diagnostic genomics group produced revenue of 346 million up 44% reported, and up 37% poor, compared to an 8% decline last year. The growth was broad-based across product lines and regions and was led by our NASD GMP Alago business. The ramp of our facility in Frederick, Colorado continues to go very well. The quarterly results exceeded our expectations, easily, surpassing the $50 million revenue milestone.  While one quarter does not make a trend, our team has done a tremendous job increasing output in a high-quality manner. This gives us increased confidence in our ability to exceed the $200 million annual run rate in revenue with existing capacity. In addition, the trained manufacturing line expense is well underway and on schedule. Our Genomics Instrumentation and Consumables businesses rebounded strongly in the quarter, as did our pathology-related businesses. For the first time in several quarters, we saw diagnostic testing above pre-pandemic levels. While we are watching the Delta variant very closely, to date, we have not seen a meaningful negative impact in testing volumes.  I also want to highlight our performance in China. While still less than 10% of DGG revenue, our China business grew 50% in the quarter. We continue to see tangible progress in building a stronger China market position. In Q3, we signed our first ever companion diagnostic development services agreement with a China-based BioPharma Company. Earlier this month, we also announced the initiation of in-country manufacturing for our SureSelect product line. We are very bullish about long-term growth prospects in China for our DGG Product and Services offerings. In addition, the integration of the Resolution Bioscience team is going well. And we are very pleased to enter and expand our participation in the fast-growing NGS-based cancer diagnostic market. It was a busy quarter at Agilent, so I have a few other achievements I'd like to share with you.  Last month we published Agilent's 21st Annual Corporate Social Responsibility report. At a time when some are just starting to look at issues like sustainability and societal impact, this has always been a key part of who we are as a Company. We've been addressing these issues since our founding more than 2 decades ago. I would encourage you to review our report on the Agilent website. We're also very pleased to receive recognition as a great place to work in the U.S. by the Great Place to Work Institute. This resulted from just one more example of us when having a highly engaged and energized team.  And as you know, teams with high engagement win in the market. Looking ahead, building on another excellent quarter and the momentum we're seeing, we expect the business to continue to perform well as we close out what we believe will be the outstanding fiscal year 2021. As a result, we are once again raising our full-year revenue and earnings guidance. Bob (ph) will share more details, but we're expecting a continuation of our excellent top-line growth and earnings generation.  While the world has yet to fully emerge from a global pandemic, Agilent is well-positioned to deliver excellent results again in the fourth quarter. I remain very proud of the Agilent team's ability to consistently deliver for our customers and shareholders. Thank you for being on the call today, and I look forward to your questions. I will now hand the call off to Bob. Bob?
Bob McMahon: Thanks, Mike. And good afternoon, everyone. In my remarks today, I will provide some additional details on Q3 revenue, and take you through the income statement and some other key financial metrics. I'll then finish up with our updated outlook for the fourth quarter and the full year. Unless otherwise noted, my remarks will focus on non-GAAP results. As Mike mentioned, we had an excellent result in the Third Quarter. Revenue was 1.59 billion, reflecting reported growth of 26%. Core revenue growth was 21%. Currency added, 4.5% for the quarter, and M&A added 0.5. In addition, COVID-related revenues were in line with the prior year.  All end markets performed well with Pharma and Chemical & Energy as standouts versus [Indiscernible] expectations. Our largest market Pharma, grew 27% during the quarter, after growing 2% last year. The performance was led by the continued strength in our large molecule business, growing 52%, while our Small Molecule business grew mid-teens. And all regions in the pharma market grew double-digits. Our Large Molecule business was driven by our NASD division and demand for LC and Mass Spec instrumentation and solutions. While our Small Molecule business was primarily driven by QA/QC refresh.  Chemical & Energy also performed well this quarter, with 23% growth. Even after accounting for the comparison against the 10% decline last year, this was clearly our best quarter since the onset of the pandemic. This result was driven by increasing momentum and demand for advanced materials and the general global economic growth. Our view is that the Chemical and Energy market still has additional room to grow moving forward. The diagnostics and clinical, we're very encouraged with the continued recovery in the market as our genomics and pathology businesses saw very good growth.  On a regional basis, all regions grew with China up 41% and America is delivering 38% growth. In academia, in the government market, we delivered 12% growth as most research labs continue to open globally and expand capacity. On a regional basis, Europe led the way. The Food market continued its double-digit performance, growing 12% on top of growing 1% last year. Food manufacturers continue to invest in increased testing to ensure quality and authenticity. A developing cannabis testing market, primarily in the U.S. also contributed to the growth in this market.  And regionally, the food market was led by the Americas and Europe. Rounding out our key markets, environmental and forensics came in with 5% growth. On a geographic basis, all regions demonstrated solid growth led by the Americas at 32% and Europe at 23%, both exceeding our expectations. The performance was broad-based across all markets. And as expected, China was up 8% on top of 11% growth last year. All 3 business groups grew in China during the quarter. Pharma, Chemical & Energy, and Diagnostics were the key drivers. Now, turning to the rest of the P&L. Third Quarter gross margin was 55.9% up 80 basis points from a year ago, despite roughly 40 basis points of headwind from currency.  Our strong top-line, some positive product mix, coupled with the strong execution from our operations team, drove the year-over-year improvement. And our supply chain team is doing a tremendous job getting our products to customers despite the increase in demand. Gross margin improvement in performance, along with continued operating expense leverage, resulted in operating margin for the third quarter of 26%, improving 230 basis points over last year. Putting it all together, we delivered EPS of $1.10 up 41% versus last year. Our tax rate was 14.75% and the share count was 306 million shares as expected.  We delivered $334 million in operating cash flow during the quarter, showing a strong conversion from net income and up more than 15% from last year. During the quarter, we returned $172 million to our shareholders, paying out $59 million in dividends, and repurchasing roughly 800,000 shares for $113 million. Year-to-date, we've returned $829 million to shareholders in the forms of dividends and share repurchases, a leverage ratio of 0.8. Accounting for our Q3 performance and improved outlook in the fourth quarter, we are again raising our full-year projections for both revenue and earnings per share.  We are increasing our full-year revenue projection to a range of 6.29 to 6.32 billion, up to $125 million at the midpoint from previous guidance. and representing reported growth of 17.8% to 18.4%. in core growth of 14.5% to 15%. Included is roughly three points of impact from currency and a small amount from M&A. In addition, we're on track to deliver, roughly $100 million in COVID-related revenue in fiscal 2021, in line with our expectations from the beginning of the year and flat to last year. We expect to continue our strong operating leverage, and so we are increasing our fiscal 2021 non-GAAP EPS to a range of $4.28 to $4.31 per share, up 30% to 31% for the year.  This translates to fourth-quarter revenue ranging from 1.63 billion to 1.66 billion. This represents reported growth of 10% to 12%, and core growth of 8.5% to 10%, on top of the 6% growth in Q4 of last year, when we started to see early signs of recovery from the strict lockdowns. In addition, while COVID revenue was roughly flat year-on-year for the full year, last year's fiscal fourth quarter represented the high-water mark in our COVID-related revenue. And as a result, we expect to see roughly a 1-point headwind due to COVID revenue in the quarter.  So, our core growth, excluding COVID, would be comparable to 9.5% to 11%. We are forecasting higher expenses in the fourth quarter as we invest to maintain our strong momentum, but expect continued operating leverage in excess of 100 basis points. non-GAAP EPS is expected to be between 1.15 and 1.18 with a growth of 17% to 20%. Now before opening the call for questions, I want to reiterate that we continue to see good demand in our end markets, have solid momentum in all our businesses, and expect to close the year extremely well. We believe our strategies are the right ones for Agilent, but we couldn't achieve these results, we [Indiscernible] without the excellent execution by the team. With that Barney (ph) back to you for Q&A.
Barney: Thanks, Bob (ph). Paul (ph), if you could please provide instructions for the Q&A now.
Operator: Definitely, sir. We will now begin the question-and-answer session. [Operator Instructions]. However, if your question has been answered and you wish to remove yourself from the queue [Operator Instructions]. Please stand by while we compile the Q&A roster. Your first question is from Tycho Peterson with JPMorgan.
Tycho Peterson: Hey, good afternoon. Congrats on the quarter. Mike, I want to start with the --
Mike McMullen: Thanks, Tycho.
Tycho Peterson: -- China outlook. I know in China, there's been a fair amount of noise about companies being able to do products in-country -- [Indiscernible] shutdown -- internal shutdown. So, can you maybe just talk to some of the near-term dynamics in China? And it sounds like trade tension's also getting worse with the buy China policy. How do you think about that over the next couple of quarters?
Mike McMullen: Sure. Thanks for the congratulatory comments, Tycho, and we really, actually, continue to feel quite good about our performance in China, as Bob and I mentioned in the call script, I think 8% up on 11% last year, and I think our stack growth is around 19% Q2. It's actually up over our stack growth of 17 Q2. We're seeing this good, strong, Pharma and C&E demand in China. Now, the funnels really remain quite robust.  And I think, now getting to your specific question, we're not seeing any significant changes in terms of ability to get the product in. I mean, there's been a lot of noise for years, I have to say, between the U.S and China, yet the business seems to somehow get transacted. So, Bob, I think we're not really overly concerned about those dynamics. We did have somewhat of a little bit of shipment interruption as some of our Academia government customers were – had [Indiscernible] our VAP tax exemption change.  But I think that was a relatively minor impact on the P&L. But clearly, we're monitoring those developments and you have to continue to work to make sure you've got the logistics of flowing through the country, but we've always been able to find a way and are not overly concerned about it at this point.
Bob McMahon: Yes. I would say, Tycho. We continue to invest in China as we mentioned in the call. And there are always bumps here and there, but long-term we feel very good about the business in China.
Mike McMullen: Yes, that's having one other thought here, Tycho (ph.), is relative logistics. We have divested into a number of forward-looking stocking locations over the last few years, not really has paid us dividend, because we are less dependent on stuff coming directly into the port because we have a lot of in-country inventory.
Tycho Peterson: Okay. That's helpful. And then it sounds like you've got a lot of underlying momentum. I know you don't like to talk about the order book, but any preliminary comments you can make on '22 at this point, you know, Street has you are up about 6.5%, curious if you think that's a reasonable bar and any comments on where you think margins may go next year?
Mike McMullen: Yes. Thanks. Those specifics, but what I can tell you is that we feel really good about the momentum of the business, the order book is continuing to be strong and that's as of today, where we got the latest view of the early orders through August, so all the momentum remains there.  As I mentioned on our prior earnings call, we feel a really good ability to meet and exceed those long-term growth goals we put out, and the margin goals. I think that's where we stand right now, is we'll get to that in November, but we're feeling good about the trajectory of the business momentum we built here.
Tycho Peterson: Okay. Thanks a lot [Indiscernible]
Operator: Your next question is from Brandon Couillard with Jefferies.
Brandon Couillard: Many thanks. Good afternoon.
Mike McMullen: Good afternoon, Brandon.
Brandon Couillard: Maybe to start with the Biopharma business. I mean, 50% growth in Large Molecules is pretty impressive. Used to elaborate, given the sources of growth there, and what that would look like if you back out the NASD contribution.
Mike McMullen: Yes. Sure. And then I'm actually going to invite Bob and I will also want to have Jacob make a few comments on some of those new introductions here. I think I used the word broad-based, at least 5 or 6 times, maybe 10 times in my prepared remarks and we're seeing that in the biopharma.  So, we've got across the board, double-digit growth happening here. Cell Analysis LC, LCMS, other platforms that go into Biopharma, along with our consumables and services. And then to your point, really outstanding growth in NASD. But while NASD was a big contributor, it was an Agilent-wide life story. And Bob, maybe you can just answer the specifics on the numbers?
Bob McMahon: Yeah. And Brandon, to your point, the total in Large Molecules was 52% as I mentioned before. But even if you back out the NASD businesses still grew in excess of 40%. So very strong business on NASD, but it shows that the rest of the business, both instrumentations, as well as the consumables pieces and the other elements on the Pharma associated revenue in Diagnostics and Genomics also, very strong business in it.
Mike McMullen: And Brandon (ph.), I just wanted to maybe have Jacob (ph.) jump in very quickly because we have a continued drumbeat of new introductions into this space as well, which has been the focus and prioritization of our R&D pipeline. Jacob (ph.), I know we had 2 big introductions in Q3 as well.
Jacob Thaysen: Yeah, thanks for that, Mike (ph.). And that's -- you know, at the analyst said, I think we've talked about in [Indiscernible] that about 70% of our portfolio above that was really focused on Biopharma a so I'm really happy to see that momentum we have right now. And as you also mentioned in the prepared remarks, you know, I'm very pleased with the bio-LC portfolio. In fact, we had and -- and, one of the [Indiscernible] of our momentum is that with that Bio-LC that we introduced here a few months ago.  And we had a virtual conference with more than 1,000 customers participating, and we had more than 25 external scientific speakers, which I would actually say I know it's the best in history by far. So that introduction is actually creating quite a lot of momentum and it allows us to play for all the [Indiscernible] biocompatible space to the 2D-LC, but clearly, also into the Mass Spec, with the Mass Spec at the end of it. And we also mentioned compliance. The FDA [Indiscernible] informatics compliances and all that very important part that most of the Biopharma see as the requirement to do business with them.  And we have invested in this for quite a while, so we ensure that data integrity, audit readiness, and storage of data is the level of security. And right now, we have the offering both supporting our LC, but also all our major marketable Mass Spec instruments. And also, in spectroscopy, with the recent announcement here off the top in the Q2 informatics solutions. So right now, we are -- we have a very strong portfolio and that truly drives our growth. Well, I can continue talking about the cell analysis, but I will --
Mike McMullen: I'm going to bounce it back to Brandon. Hey Brandon, thanks for allowing us to do an advertisement on the Agilent portfolio strength. But, back do you. Do you have any additional questions?
Brandon Couillard: Yeah, I think just touched on maybe if we could just elaborate on the Small Molecule market. You mentioned QA/QC refresh, curious [Indiscernible] we might be in there and what you think the market is kind of growing for Small Molecule relative to your big team.
Mike McMullen: It's our view that there is always a replacement market going on in the Small Molecule space, and sometimes, it picks up a bit more. But then -- and I think we're in that phase right now. I wouldn't say it's a huge acceleration, it's just the solid and probably high changes.
Jacob Thaysen: Yeah, I was going to say, Brandon as we think about this prior to the pandemic, we were probably slower growth than normal were some of the QA, QC refresh was probably elongated. And now we're starting to see that pick back up, and that typically is an 18 to 24 months kind of cycle. And I would say we're still at the beginning of that. And so, feel good about the continued performance of the refresh cycle going forward.
Brandon Couillard: Great. Thank you.
Operator: Your next question is from Vijay Kumar with Evercore ISI.
Vijay Kumar: Hey guys, congrats on the strong print this afternoon.
Mike McMullen: Thanks, Vijay.
Vijay Kumar: Mike, maybe on my first question here, Resolution Bio, that deal that you guys did, did that come in line with expectations? I'm just curious. The 50-basis points contribution seems a little light. Is there some ramp-up phase here that's in log and not? Maybe just talk about what the deal does to you and how it adds to the corporate growth rates here.
Mike McMullen: So, you do some very good math. So, it's about half-a-point of reported growth rate, Bob. And I'd say relative to Q3, probably a little bit behind the revenue as we learn more about this business or some elements of this global lumpiness, so we're feeling pretty good about how our business will finish, but we're expecting a lot in the Fourth Quarter. I think this is a story of continued acceleration of growth in '22 and beyond and we're just super delighted by the early days of how the teams feel about being part of Agilent.  And then we're really building scale around this business. So, I think it's still a relatively small part of the overall revenue picture today for Agilent, and we knew that going in, I think is roughly [Indiscernible] million, but we would expect really strong growth rates in the coming years and again, we really feel like we're off to a great start with this team.  Just interacting with Mark Li, who is the founder -- co-founder of Resolution Bio. He is really happy about the capabilities that we're bringing to his business to further scale it. So early days, but feeling good -- pretty good about things and [Indiscernible] I don't know if you're saying [Indiscernible]
Bob McMahon: Yeah, I was just going to say the other thing is, obviously, we're just now having more and more conversations with our existing CDx customers and the power of being able to have our established CDx business on the [Indiscernible] side coupled with NGS-based technology, I think is going to be a real significant competitive advantage for us going forward. So very excited about this business going forward.
Vijay Kumar: That's helpful, Mike. And Bob, one for you on expenses. In the year-to-date operating expense as a percentage of revenues, you guys [Indiscernible] a low 30s sub 31%, that's well below your historical level. I guess my question is, is this all just associated with the volume leverage rate given the strong organic performance year-to-date, or are there some timing elements on expenses, that [Indiscernible], and how should we -- if there are how should we think about those factors coming back in '22?
Bob McMahon: Yeah, Vijay, it's a great question. And I think if you remember, maybe a year ago we talked about some of these expenses that were going down, and our goal was not to have them come back to the same levels that they had. And these would be in areas around travel, but also leveraging our digital capabilities, and what we've been able to do is be very successful. Certainly, volume is our friend. And the leverage that we've been able to drive across all three of our business groups has really helped.  But if you look at our year-over-year elements around travel and costs associated with marketing programs and digital investments. Our digitals investments have gone up, but the actual return on those investments has actually gone up. And in fact, Jacob just highlighted one of the programs that we had. And so those are -- our goals are for those to continue -- they will continue to ramp next year to come back, but not near the level that they had come prior to the pandemic.  So, we do think that there's a fundamental margin improvement associated with these expenses. And that's why Mike talked about our long-term margin expansion story is intact. It's not going to be 200+ basis points like it were this last quarter, but certainly feel good about our continued ability to drive margin expansion.
Mike McMullen: And Vijay (ph.), this is Mike, if I can just add one additional comment too, and I hopefully came out in my prepared remarks, but we're not holding back on investing for growth. So, we're quite pleased with the margin performance, but it didn't come at the expense of our ability to grow down the road.
Vijay Kumar: That's extremely helpful, Mike (ph.). Congrats again. Thank you.
Mike McMullen: Thank you.
Operator: Your next question is from Doug Schenkel with Cowen. Your line is open.
Doug Schenkel: Hey, guys. Good afternoon. Could I -- actually could I just build off of that last question with a quick follow-up. Again, acknowledging and recognizing you're not going to guide on 2022 today. I'm just wondering though at high levels, should we assume that incremental margin is going to be a little bit lower than normal next year? If we're assuming a normalization of activity in the post-pandemic world? I heard what you said about areas where you're not going to need to invest as much, but at the same time, you are investing in growth. Just mathematically, does the incremental need to be a little bit lower than normal next year?
Mike McMullen: Yes. We're still building our plan. But our intent is to still be able to drive that margin expansion. I will say that we are having our new Train B in NASD come online, which will add a little pressure to it. But, I think, we've been very good about being able to do 30% to 40% incremental and sometimes even higher than that when the margin comes in. And I don't see any reason why we shouldn't be able to continue to do that, Doug.
Doug Schenkel: Okay, super helpful.
Bob McMahon: Maybe what's -- yes, maybe what's underlying your question is inflationary pressures and activities around that I would say that we didn't see any material impact. Obviously, there is some but we're planning to manage that going forward.
Doug Schenkel: Yeah, that's in audits. It's supply constraints, it's inflation or refreshers. It's the hope that we're traveling a little bit more and there are real conferences and real site visits, things like that. So that's the spirit of the question. Just making sure that the capture of those dynamics, we don't have to think about something other than that 30 to 40 traditional [Indiscernible] range. So that's helpful, Bob (ph.).
Mike McMullen: I would just add. [Indiscernible] we're under 22 now. Sorry to interrupt there, but I'd just say that some of our programs, and -- and such are really geared towards making sure we can manage our way through this in '22, so we're on this already.
Doug Schenkel: Got it. Okay. In terms of full-year guidance, as it's been noted a few times, you increased the outlook by more than the magnitude of the Q3 B. I guess I'm just wondering what gives you confidence in this change. Is it backlog data? Is it pacing across the quarter? Is it activity through the first month of the quarter? Maybe it's all the above and maybe more importantly --
Mike McMullen: [Indiscernible]
Doug Schenkel: You just checked everyone? Okay. Perfect.
Mike McMullen: I know. Bob and I are smiling in the room here, and, I think, we can probably put a checkmark on all -- first of those 3 things you mentioned.
Doug Schenkel: Okay. And then throughout the year, you've consistently beaten your own targets pretty maturely, and it definitely makes sense to skew the error bars a bit more conservatively when you set your targets, given the state of the world. That said, given how well you performed relative to those targets, and recognizing we're not out of the pandemic, but we've got a little more experience with it at this point. Is it fair to say that you're at the point where you could adjust the philosophy a little bit and maybe change the positioning of those error bars as you set guidance moving ahead?
Mike McMullen: Yeah, I think that that's fair. I think -- what we've tried to do is set prudent guidance as we've talked about in the past. But certainly, as we've and our customers, more importantly, the market is getting used to dealing in a COVID world, there are fewer variables to be able to understand. And I would look at just what we did in Q2 to Q3, we dramatically increased our Q3 guidance and then did the same thing here for Q4. So, I think our visibility is improving. You should take that away for all the things so you rattled off. Certainly,
Bob McMahon: the momentum that we're seeing, the general economic improvements, and so forth. But as you mentioned, there's still a Delta variant out there, and so well, as Mike mentioned, we haven't seen any impact of that yet. We also recognize that that could change during the course of the quarter. So, we're trying to take all those factors into account, but also try to provide some realistic guidance going forward.
Doug Schenkel: Okay. Thanks again, guys.
Bob McMahon: You're welcome, Doug.
Operator: Your next question is from Derik de Bruin with Bank of America.
Derik de Bruin: Hello, and good afternoon.
Mike McMullen: Hey, Derik.
Derik de Bruin: Hey. Can we talk a little about environmental and [Indiscernible] and I wanted Doug to tell that question too? I know it's probably a little bit early, but any signs of how we should think about the GC portfolio picking up, or you just replaced -- is it just sort of like catch-up spending right now in the industrial or any initial indications that the replacement cycle that you were going -- you were in the midst of prior to the pandemic is likely to restart.
Mike McMullen: Hey, Derik. Hey, how do I take the first one in Bob -- I mean, Bob and Jacob, you may want to add additional comments here. But let me talk about the question around gas chromatography. We are seeing that.  And that's really behind a lot of the fairly bullish comments, if you will, around C&E space. So, we're seeing it in our GC revenue, and we're also seeing it in our GC order book. And I've been very reluctant to call that hey, we think this business is now in a situation of returning to growth.  That reluctance has now passed. I think we're now into what looks to be the start of some really good potential business on our GC side, as that replacement cycle turns back on. And Jacob, I know you're a lot closer to the detail’s alignments, anything else you could add to that?
Jacob Thaysen: Yeah, Mike (ph.). You're absolutely right. I think first of all of them -- I think Bob (ph.) mentioned that also the chemicals and engineered materials market certainly on fire right now, [Indiscernible] in Semicon and in the mining industry, including lease term for batteries.  But we also see the traditional Petrochem markets really start to see some momentum now. And there's a lot of talk about the future of Petrochem but this market is going to pay for quite along. And I think that all the analysis shows that there'll be [Indiscernible], so we see investments coming into this market right now. And the new market that's also coming along is Renewable Energy, which will also use many of our technologies.  And we see a great opportunity there also in the future. They're still in a development phase, but as you know, there's a lot of investments going in here, so we are participating in that also. So, we see a lot of opportunities in GC and the GC is actually seeing momentum both first in the chemical markets, but now into the energy markets.
Derik de Bruin: Okay, so following up on that. So, you're feeling good about your more industrial [Indiscernible] experiments, even with some of the choppiness in the Chinese market, the data there. So, are you seeing -- is it the U.S. and Europe [Indiscernible] anymore or is it just that you're seeing turn on that one? And then where were we -- what remind me in annoying baseball analogies where we were in [Indiscernible] on the GC replacement cycle?
Bob McMahon: Yes. So, Bob, I think it's fair to say that there really is no difference across the regions. I mean, China actually was the area of strength for us in C&E, and I think we're seeing good -- good strength globally, which I think points to the importance of global economic outlook for this segment. And I'd say we're probably earlier middle innings on the -- paused there for a while because we got rate run going with the new portfolio, but a pause. I'd say we're early innings, middle innings.
Mike McMullen: Yeah. I would say too, Derik, just to give you a frame, China was more than twice the -- China C&E market was in line with the overall C&E growth rate that we saw.
Derik de Bruin: Thanks for answering the question.
Operator: Your next question is from Dan Leonard with Wells Fargo. Your line is open.
Dan Leonard: Thank you. And good afternoon.
Mike McMullen: Good afternoon.
Dan Leonard: I was hoping you could -- Mike (ph.), I was hoping you could address the 5% to 7% core revenue growth model that you've introduced in December. Is that still relevant? Do you think something has fundamentally changed in the markets from that time period?
Mike McMullen: I'd say it's relevant till we change it. So, I'm not ready to, on the fly here, revise our long-term growth. But as you may recall, in our December outlook, we said, think about us being more of the high range in that area. And I think [Indiscernible] a little tougher so I put a 7 out there in any type of long-term growth guidance. I think what's changing is the nature of our portfolio, which is we continue to build very quickly, much bigger positions in faster-growing segments. And I think it's probably fair to say that the Pharma market, in particular, the Biopharma market is -- remains very robust, but again, we're sticking with those long-term growth goals at this point in time.
Bob McMahon: I would say, Dan, to build on what Mike is saying, particularly the pharma market. We do feel that that market, and in fact, Mike talked about it in his prepared remarks that we're emerging as a stronger Company. We do think that the Pharma market, really driven by that Large Molecule area, is a faster-growing market coming out of the pandemic than going into it.  And I think if we look at where our investments are and the performance that we've had in particularly the Large Molecule. Now again, Small Molecule has been doing very well. That, in and of itself, would elevate that overall long-term growth rate to be faster than what we saw going in, which certainly helps us, given that is -- that's our largest market. So, I'll leave it at that.
Dan Leonard: Okay. That's a helpful clarification. And just a follow-up on China, could you elaborate further on the drivers of that 50% growth rate you called out for DGG in China?
Mike McMullen: Yes, I'm going to invite Sam on this call. He hasn't had a chance to work today in this call. So, Sam, your thoughts of what's been going on in China, I was doing a little bragging on your growth rate there.
Sam Raha: Yeah. Mike, happy to give more perspective on China. We actually had a good quarter across the board for all of our business groups within DGG. Specifically, we continue to see real momentum in clinical diagnostic testing, led in pathology.  We've seen really good pick up of our PD - L1, and our diagnostic -- or companion diagnostic there, as we've continued to train more pathologists there in the use and so forth. Genomics also had a really, really, good quarter, both on the consumable side. And we've also just recently announced within the quarter, the launch of our new V8 Xome, which is being well received in China and globally.  And I will tell you one of our absolute strengths in China as it is elsewhere, remain our core NGS and Genomics QC portfolio. So, all of those elements, along with Mike, as you mentioned now, the signing of our first companion diagnostic development agreement with the Biopharma there, I think foretell a continued story of strength in China for DGG.
Mike McMullen: And just to build on Sam's comments, I mean, we've been working really hard the last several years putting in the right foundational capabilities, building the right commercial channel, the right ability to handle diagnostics products ourselves, and it's really great to actually see those investment starting to pay off in year term growth.
Dan Leonard: Appreciate all that color. Thanks, everyone.
Operator: Your next question is from Patrick Donnelly with Citi. Your line is open.
Patrick Donnelly: Hey, thanks for taking the question, guys.
Mike McMullen: Sure.
Patrick Donnelly: Mike, maybe one on the Chemical & Energy side to follow up on some of the earlier questions. I know that's one where you pretty closely keep an eye on the order book and your confidence goes with that. Are you getting more visibility as the order book builds there? I'm just trying to compare it to pre-pandemic mid-pandemic, I know you guys had a pretty short leash on in terms of how you would guide for that segment, how comfortable you would allow yourselves to get. Just wondering how the order book is looking there relative to some of the past quarters and how you're feeling about that segment. Certainly, seems like the tone is pretty positive here.
Mike McMullen: Yes. Now I'm glad you picked up on that. We really want that to come through in the call. And I think the confidence is coming from not only the revenues that we've reported, but as Bob (ph.) mentioned in general, and I think it also holds for C&E, we just have much better visibility into our funnel. And you may have recalled I was talking a lot of -- in prior calls, I talk a lot about a conversation we're having with customers and we knew there was activity.  But now that conversation is turning into orders. So, we're feeling much better about the trajectory of the C&E space. Historically I've been very cautious to give any real kind of positive trends in this area. But I think we've seen enough over the last few quarters and what we're seeing with our customers and the order book is really the basis for this confidence.  And again, it's tied to not only the pent-up demand they've had in terms of even replacing aged equipment in their laboratories, but they are also -- what we hear from our customers, there are much more confident about where the global economy is going.  So, they're willing to make investments. A couple of positives here and there and there will be some ups and downs because of outbreaks here and there of COVID, but in general, the [Indiscernible] remains very positive, I think as Bob mentioned earlier, our customers have learned to deal with this. So, Bob, I know this is -- we've talked a lot about this, anything I missed there?
Bob McMahon: No.
Mike McMullen: Okay.
Patrick Donnelly: That's helpful. I appreciate it, Mike. And then on the diagnostic side and just given commentary that you guys are above pre-pandemic levels, can you just talk about the pace of the recovery in the quarter and then expectations for the further ramp from here. And I just want to clarify and make sure you haven't seen any impact in Delta up until I guess this week. I just want to make sure I have that clear. Thank you.
Bob McMahon: Yeah. I mean, we saw continued recovery. I think we mentioned at the beginning -- at the end of Q2 that we were at pre-pandemic. We exited there. The average was still below. And that steady improvement across our business, across really across all of the regions continued into Q3. And by the end of Q3, we were above. And Patrick, to your specific question about Delta, we have not seen any impact to date associated with that.
Patrick Donnelly: Great. Thanks, Bob.
Bob McMahon: Yeah.
Operator: Your next question is from Matt Sykes with Goldman Sachs. Your line is open.
Matt Sykes: Hello. Hey guys, thanks for taking my questions, congrats on the quarter.
Bob McMahon: Sure.
Mike McMullen: Thank you.
Matt Sykes: Just on ACG, you guys had a pretty impressive operating margin, over 29% for the quarter. I'm just wondering what you feel about the sustainability of those margins and then any progress that you've made on attachment rates in that business? I know you mentioned a little bit in your prepared remarks, but any additional color on that would be helpful.
Mike McMullen: I think I'll pass it on to Borick (ph.), who can provide some additional color to the ACG and answer your questions. Go ahead, Borick.
Padraig McDonnell: Yeah. Great. Thanks -- thanks, Mike. And we're getting back to more normalized service support with our customers, which is more cost associated, of course, with travel, but we're starting to see an accretive margin in Q3 and we're seeing that come through to improve in Q4. So very, very strong in that. In terms of touch rate, we're seeing increased touch on our services and consumables and of course, with the larger install base, this bodes really well for the future, as more attach rates for services and consumers will be available to a very strong outlook.
Mike McMullen: Yes, hey, and Matt, maybe just to build on what Borick(ph.) is saying in terms of sustainability, we feel very good about the ability to continue to sustain those levels of margin. It gets back to the work that our service engineers do in servicing our customers. It's mission-critical for our customers, keeping those labs and those instruments up. And our ability to continue to invest in digital, as well as, be there on-site on the labs or with the labs is really important.  A one piece that I would add is we continue to invest in that digital as I mentioned before, and our online orders actually grew faster -- our revenue grew faster than the overall ACG business, which actually speaks to our continued relevance in that space. And obviously, that's good for our customers in terms of either doing business with Agilent, but it also helps from that margin perspective as well.
Matt Sykes: Great. Thanks for that color, it's very helpful. And then just one more on C&E. I know you've answered a lot of questions already, but I'm just wondering how the competitive landscape might have changed. Obviously, it had a challenging time during COVID. It took a while for it to recover, and now, it's certainly in recovery mode. I'm just wondering, as you look out of the competitive landscape, have you seen some competitor's slow investment; and therefore, there are some share gain opportunities in that growth that you're seeing?
Mike McMullen: I don't know where they slowed. I'm not sure they're investing for that segment. So, and we're not seeing much happen on the competitive side. We're by far this is -- we're the clear leader in this space, we've continued to invest in our core portfolio pre and throughout the pandemic. So, as you can tell, I'm pretty bullish about our ability to outgrow the competition in this space.
Bob McMahon: Yeah, let me add. It seems like a long time ago, but we launched 2 new GCs back in 2019, both at the high end and a mid-range GC. And we talked about one of the reasons that we did that is we've got a leadership position in the GC market. But when you look at it, we're over-index to the high-end, and so the ability for us to be able to have this mid -- mid-range, I think was really critical, and we're starting to see that benefit. And maybe Jacob wants to jump in that conversation. Yeah.
Jacob Thaysen: Yes. Exactly. You're actually right on the GT and our strength in our GT, but I think we should also mention our spectroscopy business and the ITPMS, where we have done a lot of work also ITP, OES, and MS, where you're doing a lot of work that is -- that has a very strong market share for the material science. And we continue to take market share in that space also. So, I think you'll see us being very strong here. And we have also a site that we will continue to invest in this market going forward. So that's [Indiscernible] therefore the costumers going forward.
Matt Sykes: Thanks very much.
Operator: Your next question is from Joshua Waldman with Cleveland Research, your line is open.
Joshua Waldman: Hi, thanks for taking my questions, just two for you. Mike, you mentioned overall orders outpaced sales in the quarter, and it sounds like book-to-bill in the LSAG business was slightly positive. Just wondered if you could provide us with your assumptions for core growth in the LSAG business in the fourth quarter.  And then as we look beyond FY21, given the broad-based strength you've spoken about on the call today, I guess, is it fair to assume that as we look to FY '22, this business should likely grow something above a low to mid-single-digit longer-term average?
Mike McMullen: Yeah. Let me talk about the fourth quarter and I'm not sure we're going to answer the last one just yet as we're going through our plan, but --.
Joshua Waldman: I had to try.
Mike McMullen: Yes, yes, that was a good try. But I would say for Q4, you're accurate in the belief that our book-to-bill was positive for the quarter, and if you think about Q4, our guidance comprehends high single-digit, low double-digit growth for the LSAG business core growth. And so, I'll leave it at that.
Joshua Waldman: Got it. And then it seems like here today, Pharma has outperformed what you expected coming into the year. I just wondered if you could comment on any current thoughts you have around the potential magnitude of any year-end budget flush, I guess, given -- it seems like investments from these customers have -- have been fairly consistent -- consistent, and strong throughout the year. Does that deflate any year-end spending?
Mike McMullen: Yeah. We'll address that in the Q1 call. But to your point, we've been pleasantly surprised, and it has continued to be stronger than what we've anticipated throughout the first 3 quarters, and what I would say is we don't expect that to slow down any in Q4 either.
Joshua Waldman: Got it. Thank you.
Operator: And your last question is from Jack Meehan with Nephron Research. Your line is open.
Jack Meehan: Thanks. Good afternoon. You talked about the job that your team is doing, managing the supply chain. Was wondering if you can elaborate on a hotspot you're seeing in terms of inputs, shipping, or labor. And when you look at the fourth-quarter guidance, is that -- are you taking any more prudent or conservative type approach based on what's going on in the supply chains?
Mike McMullen: Yes, I mean, this has been a lot of discussion on that. I think everybody is talking about the supply chain constraints on a global basis. It's been a challenge for us, but as Bob noted in this call script, our team has just done a tremendous job getting the Agilent products to our customers. And we're really good at this about managing situations.  So, we will work on a number of commodity areas for some time. And we also have done things as identifying a changing alternatives source, supply. So, we've been able to do that. We've had a last-minute changes notification from logistics suppliers that they won't pick up our boxes, and so we switched to another supplier.  So, we've been able to manage our way through that. And it was conspicuous, it was absent in our cost script a lot of details because while we continue to monitor it, we don't believe that's a material risk to the Company at this time, and we still likely -- we factored all that into our guide for the fourth quarter. And Bob (ph.), I know that you've done a close study of this as well, anything else you'd add to that?
Bob McMahon: Yeah. The only thing I would say is it's the usual suspects that other folks have called out, things like [Indiscernible] and our team has done, to date, an outstanding job of being able to continue to satisfy demand here.  And our expectation is that that's going to continue to happen into Q4. And we've got a continuous improvement program that continues to drive productivity and efficiency gains. And we're expecting that, and to combat some of these inflationary pressures as well as continuing to deliver to our customers. And we will continue to do that into '22 as well.
Jack Meehan: Great. And then one other follow-up is on COVID.
Mike McMullen: Sure.
Jack Meehan: So, the fourth-quarter guidance assumes it's a 1-point headwind, though we're obviously in the middle of another Delta wave here. So, I was curious what you're seeing on the ground or whether your products are just starting to wane in general and any preliminary thoughts around how, you have 100 million this year, just how you're going to guide as you go into 2022 related to that?
Bob McMahon: What I would say, Jack, it's a good question, and our products aren't directly tied to the testing. We didn't see the dramatic increase but also didn't see the dramatic decline with the testing there. Ours is more around expanding capacity both in testing and over the course of this last year. We've actually seen it migrate to more therapeutic capacity or excuse me, vaccine capacity in demand there.  And so, we don't see it spiking up or not building that into Q4. I think it's a little too early to tell for -- for FY22. It's been -- it's been reasonably steady the last couple of quarters. And we do expect contribution in '22 and we'll provide more color as we get through our planning process, but we don't see it dramatically dropping off.
Jack Meehan: Sounds good. Thanks, Bob (ph.).
Operator: I do apologize but we do have an additional question. The last question is from Dan Arias with Stifel. Your line is open.
Dan Arias: Yeah. Hi, guys. Thanks for getting me in here at the end. Hi, Mike?
Mike McMullen: Sure. No problems.
Dan Arias: Just one for me. Just Bob, maybe a high-level question. Just to the idea of getting to a post-COVID world, whenever that might be. I'm wondering which of the 3 segments you think might stand the best chance of maybe rebasing at a higher level of the up-margin line, just by virtue of some of the success that you're having, and then to your point, some of the fundamental changes that might come to the expense structure. Is that something you think is possible? And if so, would you be willing to help us with which one is looking most promising there?
Mike McMullen: I do think it's possible. I'm not going to call out because I'm not going to let -- if I call out one, I'm not going to let the other two Division Presidents off the hook. They must have paid you. I think we could continue to do it across the board.  Certainly, we are making investments across all three of the businesses to continue to grow. But we certainly feel like we have opportunities to continue to drive margin enhancement across all 3 of our business groups. Sorry guys.
Dan Arias: Okay. Thanks so much.
Mike McMullen: Thanks, Dan.
Operator: And that concludes the question-and-answer session for this conference call. I will now turn the conference back to Puneet Souda for closing remarks.
Puneet Souda: Thanks, Paul. And thanks, everyone. With that, we would like to wrap up the call for today. Have a great rest of your day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect. Stay safe and well.